Operator: Good morning, and welcome to Erie Indemnity Company Fourth Quarter and Year End 2021 Earnings Conference Call. This call was prerecorded and there will be no question-and-answer session following the recording. Now, I'd like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz. You may begin, sir.
Scott Beilharz: Thank you. And welcome everyone. We appreciate you joining us for this recorded discussion about our 2021 fourth quarter and year-end results. This recording includes remarks from Timothy G. NeCastro, President and Chief Executive Officer, and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website erieinsurance.com. Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the Company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks.  For information on important factors that may cause such differences, please see the safe harbor statements in our Form 10-K filing with the SEC dated February 24th, 2022 and the related press release. This prerecorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. With that, we will move on to Tim's remarks. Tim.
Timothy G. NeCastro: Thanks, Scott. And thanks to all of you for taking the time to learn more about Erie's performance in the fourth quarter of 2021 and our year-end results. After working through the daunting challenges of 2020, we entered 2021 with a sense of hope for a return to normalcy and answers to the unknown. The pandemic, however, has persisted far longer than we could've imagined, and the challenges and uncertainties related to it continued and evolved as well. Against that backdrop, our performance in 2021 reflects its share of accomplishments, milestones, and points of pride. Among them, reaching 6 million policies in force for Erie Insurance Exchange. This can be credited in large part to our hard-working agency force and dedicated sales mentoring teams. Our steady as you go approach to pricing and commitment to long-term profitability has helped us surpass this milestone and positions us for continued growth. As we move towards 7 million policies in force and a century of service. The year also brought a significant moment in the Company's history. The dedication of our new seven story office building. The Thomas B. Hagen Building, named of course, for our Chairman of the Board is a symbol of pride and hope both for Erie, the Company and Erie, the city. It provides us ample space and an inspiring environment for new, safe ways to come together we begin returning more employees to our offices. We're no longer predicting a date for that return. However, logistical plans are complete to bring employees back when it's considered safe to do so. Our transition will reflect the nature of how we work and do business as changed during the pandemic. Wherever possible, employees love greater flexibility, balanced with the personal face-to-face interactions that have shaped our service culture for 97 years.  We're looking forward to pioneering what's next with and for our workforce. And in a way that's right for Erie and for our employees. Before I share some additional updates and achievements from this past year, let's turn to our fourth quarter and year-end financial results. Despite the unique challenges faced over the past year in the industry, the country and the world. We're in a strong place financially and well-positioned for success as we move into 2022. As reported in our press release filed after the market closed yesterday, Erie Indemnity reported net income of $55 million or a $1.05 per diluted share for the fourth quarter. Compared to the fourth quarter of 2020, that was a decrease of approximately $8 million. During the first half of the year. Insurance losses remains at lower-than-normal levels to the relatively mild spring and continued reduction in driving due to the pandemic.  However, that shifted in the second half of 2021 as driving returned to nearly pre -pandemic level and supply chain issues led to dramatically increase costs for automobile parts and building supplies. More weather-related losses in the third quarter were then compounded by the catastrophic tornadoes in Kentucky, Tennessee, Illinois, Indiana, and Ohio in December. These factors contributed to a year-end combined ratio 103.9 compared to 93.7 at the end of 2020. Growth in our investment portfolio enabled us to grow policyholder surplus for the Exchange to $11.7 billion up a little over $1 billion for the year. It's worth noting that just over the past five-years, surplus has grown by $4 billion. Now, with that, I will pass it to Greg for deeper review of the financials. Greg.
Greg Gutting: Thank you Sam. As I am sure you have noticed in your daily lives, the cost of just about everything has increased. As an insurance Company, we're seeing these rising costs in automobile replacements, car parts, and building material costs, which directly impact claims costs. We're also seeing driving activity returned to near pre -pandemic levels. These factors can certainly apply pressured to the bottom line. However, we've managed to yet again deliver strong financial results. I am proud to share those results with you today. Starting with the exchange the insurance operations we've manage. Direct written premium growth for the fourth quarter was 4.5% driven by an increase in the average premium per policy and increased policy retention.  For the year, the exchange saw an increase in direct written premiums of over 3% compared to 2020. The increase was driven by strong new policy growth of 9% and an increase in new direct written premium of just over 13% combined with increased policy retention. As Tim previously mentioned, the fourth quarter was impacted heavily by weather events in Kentucky, Illinois, Indiana, Ohio incentive fee. Despite these events, the Exchange Group policyholder surplus by $80 million landing at $11.7 billion at the end of 2021. This represents an increase of $1 billion for the year, driven by superior investment returns. Turning to the results for Indemnity, net income was $55 million or $1.05 per diluted share. In the fourth quarter of 2021 compared to $63 million or $1.20 per diluted share in the fourth quarter of 2020.  2021, total year net income was $298 million or $5.69 per diluted share compared to $293 million or $5.61 per diluted share in 2020. Operating income in the fourth quarter decreased just over $3 million or 4.9% compared to the fourth quarter of 2020. From a total year perspective, Indemnity experienced a decrease in operating income of $20 million or 5.9% compared to 2020. Management fee revenue from policy issuance and renewal services increased nearly $21 million or 4.8% in the fourth quarter of 2021 compared to the fourth quarter of 2020, and $71 million or 3.9% for the total year compared to 2020. The increases in both the fourth quarter and total year were driven by increases in the direct and assumed written premiums of the exchange. The total cost of operations from policy issuance and renewal services increased $23 million for the fourth quarter and over $88 million for the total year, 2021 compared to the same periods of 2020.  Commission expenses for the fourth quarter grew $18 million, while the total year commission expense increased $57 million. The fourth quarter was impacted mainly by the growth in the direct and assumed written premiums. However, our total year commission expense was driven by two factors. The increase in written premiums, as well as higher agent incentive compensation. Turning to our non-commission expenses. For the fourth quarter, Indemnity saw an increase of nearly $5 million compared to the fourth quarter of 2020. The fourth quarter increase was driven by increases in underwriting and policy processing costs, administrative and other expenses, and customer service costs. For the total year 2021, non-commission expenses grew by $31 million compared to 2020.  Underwriting and policy processing costs increased $4.5 million, driven by personnel costs, as well as underwriting report costs. IT costs grew roughly $11 million due to increased software and hardware costs, as well as personnel costs. And finally, administrative and other expenses increased just over $14 million driven by professional fees and building and equipment depreciation. Personnel costs and all categories were impacted by higher medical costs compared to the prior year as the COVID-19 pandemic reduced electric procedures in 2020. Indemnity's fourth quarter pre -tax income from investments totaled over $12 million. This represents a decrease of roughly $2 million compared to the fourth quarter of 2020.  Although we saw an increase in limited partnership income of over $3 million, it was more than offset by a decrease in realized gains of nearly $5 million. Our investment income for the total year basis, however, is a very positive story. Indemnity total year pretax income from investments was just over $67 million, an increase of $34.5 million compared to 2020. The large increase is attributable to our limited partnership portfolio, which recorded earnings of $32 million in 2021. I will remind you that limited partnership asset class is in runoff and we continue to expect more limited and inconsistent earnings from this asset class in the future. Finally, in 2021, we paid our shareholders dividend in the amount of a $193 million. Also, in December of last year, our board approved a 7.2% increase in the regular quarterly cash dividend for both Class A and Class B shares for 2022. Now I'll turn the call back over to Tim. Tim?
Timothy G. NeCastro: Thanks, Greg. As Greg mentioned earlier in his remarks, we saw an impressive jump of 9% in new policies written in 2021. That increase can be largely attributable to some of the new and enhanced products in both personal and commercial lines. There's personal umbrella product, refresh and reintroduced across our footprint last year, provides protection beyond what auto and home insurance policies cover. In 2021, new business direct written premium for personal umbrella was up more than 30% versus 2020. ErieSecure business introduced in late 2020 is a customizable, commercial multi-peril products that agents quote on average in just over seven minutes. It exceeded the expectations last year generating nearly $200 million new written premiums and providing protection to more than 75,000 businesses.  Along with new enhanced product offerings, we've been working over the past year to establish a strategy that keeps the human touch delivered by our agency force at the center while expanding our digital tools and services to meet customer demand. The same technology that's allowed us to connect and collaborate virtually over the past two years, has also changed the way consumers interact companies. It's critical that we embrace that shifts for technology, but it's even more critical to do that in a way that's distinctly [Indiscernible]. That means giving customers access to digital teams when they want it and contact with the person when they need it. Several enhancements to our online account platform in 2021 addresses that approach to convenience, customized service, and the initial usage numbers show that they're resonating with our customers.  The new chat function with an online account so an average response time of just 16 seconds and 96% of chats were answered within 40 seconds. The new paperless billing option introduced to online account customers in March now has more than 100,000 policies enrolled. A new text messaging capability for claims handlers, seeing great usage rates with the claims team engaging are more than 16,000 text conversations per month and 72% of applicable customers opting in. Another aspect of our strategy is using customer data to drive our approach to service delivery and product development. This will ensure that we deliver seamless customer experiences and provide agents with data-tested products and services to help grow their business. One way we're doing this is through your turn, our Telematics program attracts driving behaviors and reward safe drivers.  Pennsylvania was added as the eighth state in our footprint to offer low term in 2021. And now nearly 50,000 drivers are registered on Erie's platform. We're also anticipating two new product enhancements to meet customers needs. Expanded commercial cyber security coverage to be quoted on all new ErieSecure business policies and extended water or flood coverage for personalized customers. Overall, these advancing demonstrate our commitment to strengthening our competitive position, meeting the challenging needs and preferences of our customers, and building on the service products that's been the source of our success for 97 years. That commitment to service was affirmed recently by a second place ranking from J.D. Power in their 2021 Auto Claims Satisfaction Study released in November.  Erie score jumped by 21 points from 2020 and was just four points shy of the first-place spot. Additionally, Erie was the highest performer for the estimation process and tied for first for clean servicing. Erie was also included in the top ten carriers for customers experience with first notice of loss, settlement and rental experience. This recognition along with the accomplishments in the past year are testament to the strong relationships among our employees and agents which have allowed us to work together seamlessly and to be highly productive even in the very different and often challenging environment we face over the past two years. That Erie family spirit is also helps us in weather storms like the [Indiscernible] tornadoes and torquing parts of our footprint in December.  The displays of humanity shown by our employees and agents were nothing short of remarkable. And also, serve as a reminder of our purpose, to provide our policy holders with this near perfect protection as near-perfect service, as humanly possible to do so at the lowest possible cost. I'd like to once again thank our employees and agents for their dedication and our shareholders for their continued support and trust, and all of you for your continued interest in Erie.
End of Q&A: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.